Operator: Ladies and gentlemen, thank you for standing by and welcome to the MediPharm Labs’ 2022 Third Quarter Financial Results Conference Call. Please be advised that today’s conference is being recorded. Before we begin, please note the following caution respecting forward-looking statements which is made on behalf of MediPharm Labs and all its representatives on this call. The statements made on this call will contain forward-looking information that involves risks and uncertainties. Actual results could differ materially from a conclusion, forecast or projection in the forward-looking information. Certain material factors or assumptions were applied in drawing a conclusion or making a forecast or projection as reflected in the forward-looking information.  Additional information about the material factors that could cause actual results to differ materially from the conclusions, forecasts or projections in the forward-looking information and the material factors or assumptions that were applied in drawing a conclusion or making a forecast or projection as reflected in the forward-looking information are contained in MediPharm Labs’ filings with the Canadian and provincial security regulators, which are available on the SEDAR website at sedar.com. I will now pass the call to David Pidduck, CEO of MediPharm. Please go ahead, sir.
David Pidduck: Thank you, operator and good morning everyone. We appreciate you joining us for MediPharm Labs’ 2022 third quarter financial results conference call. Joining me on the call today are Keith Strachan, MediPharm’s President and Greg Hunter, the company’s Chief Financial Officer. I will address some of our strategic achievements and growth opportunities and then hand the call over to Keith and Greg to provide more detail on the quarterly results. Our team is focused on driving revenue, both organically and through selective opportunistic M&A activities. Concurrently, we are executing against several priorities to optimize the business and drive towards profitability and positive cash flow.  We're executing these plans while maintaining MediPharm's mid to long-term orientation and investments in the pharma opportunity. I want to acknowledge the challenging circumstances in the industry. As you are aware, there are several of our peer companies that are struggling with profitability, and cash flow issues. Many are carrying significant debt, raising funds through debt or equity is problematic in the current environment. And some companies are even facing insolvency.  MediPharm, by contrast, has a very strong balance sheet. We have no material debt, and with the proceeds from our Australian business as of today, we had a cash balance of around $23 million. I'm happy to share that through the Australian closure and significant OpEx and headcount reductions, we've successfully reduced our quarterly burn rate from about $6 million per quarter to around $4 million per quarter.  Getting to profitability and positive cash flow requires strong execution on many fronts, addressing issues with gross profit with OpEx and working capital. I'm pleased to report that the team has made progress during Q3 on all of these initiatives. In October, we closed the previously announced sale of MediPharm Labs Australia, allowing us to further leverage our GMP facility in Berry, The sale generated just over CAD6 million in cash proceeds. We have already begun producing and shipping EU bound volume from our Berry, Ontario facility. The sale enables us to deploy cash into our existing operations and against potential future M&A, while lowering operating expenses by about $4 million annually.  Staying with OpEx savings for a moment the headcount reductions we announced last quarter will be fully implemented by Q4. This will result in $3 million in annual savings starting this quarter.  Regarding working capital, the finance team has done a good job of bringing rigor to the cash management playbook. We will continue to focus on tight cash management, and you can expect further improvements in 2023.  With respect to gross profit, we have completed a line-by-line review of our entire product portfolio and are in the process of increasing prices, decreasing costs, or even eliminating product lines that are not contributing to the bottom line. We are committed to ensuring that new product revenues or gross margin accretive and are not willing to generate volume for volume sake.  But we have good news on the revenue front. Our Canadian business continues to strengthen and despite well publicized market wide challenges and Q3 headwinds, notably in the Ontario and BC markets, MediPharm's provincial sale of grew 28% quarter-over-quarter and 81% versus prior year. Speaking of growth, our team continues to make progress on all fronts pharma and international medical as well as the Canadian market.  As a reminder, the core strategy is to position MediPharm is the go to pharma grade cannabinoid API supplier pointed towards the international pharma cannabinoid space. We will continue to drive growth and profitability to the international medical and Canadian businesses as a solid bridge to the larger but longer term pharma opportunity.  And the pharma opportunity continues to gain momentum. We continue to position the company to capitalize on the potential of new cannabis based drugs. In the pharma space, we are creating relationships to provide API, active pharmaceutical ingredients and finished good format for future marketable drug products. In the world of research, we're becoming the go to partner for fully funded clinical trials.  Some of you may have seen the recent mail article [ph] featuring McMaster University. McMaster commented that they evaluated over 50 Canadian cannabis licensed producers before they could find one that met Health Canada's pharmaceutical research requirements for GMP products. I am proud to say that we are the one qualified GMP clinically capable supplier that McMaster found and that we have shipped clinical research materials to McMaster in Q3.  We are also supplying API to several ongoing drug development and research efforts right now. We have partnered with an international pharmaceutical company to supply API to support an abbreviated new drug application filed with the FDA. This an NDA has now been filed. And while it will take time to develop, this is representative of the type of partnerships we will continue to focus on. If even one of the several pharma products in development were to be successful, it could completely change the face of this company.  As we mentioned last quarter, in Canada, the government appointed Science Advisory Committee has just released a number of recommendations in relation to over the counter OTC CBD health products. MediPharm participated in providing feedback to Health Canada proposed legislation in relation to CBD, our Drug Establishment License and natural health products, GMP licenses, and award winning CBD product portfolio make us the only purpose built cannabis facility ready to participate in this market evolution today.  This report, if implemented could make CBD available through Canadian NHP market channels, increasing access to a much larger base of consumers versus today's cannabis retail channels. Subject to how some of these recommendations are implemented, we believe that MediPharm is already neatly positioned to supply a full portfolio of NHP and GMP compliant products. Today, again, our GMP pharma quality approach positions us today to be one of the few ready players to address this fast-emerging market opportunity.  Before I close, I'd like to turn to M&A briefly. Given our strong balance sheet with no material debt, and $23 million in cash, we are actively positioning MediPharm as an acquirer of choice. We're taking a very focused approach here, there's many opportunities for companies urgently in need of partners. But opportunities need to fit our unique capabilities in the medical pharma, global and Canadian business segments, needs to accelerate our move to profitability.  We're working with experienced advisors to identify and vet opportunities in Canada and internationally. And I've already reviewed several potential transactions. We will be very prudent both with our balance sheet and with our stock as we actively look for deals that will further our strengths while driving returns for shareholders. So to summarize, while we have lots of work to do, we've made real progress, and we are on the right track.  I'm proud of the team's efforts during the quarter on the sales pipeline on our revenues, on the decrease in our operating expenses and our work on the balance sheet. We are in a very solid cash position and our managing are burn rate down. We believe we have one of the strongest balance sheets amongst our peer group and as a result, are in a very strong position to benefit from coming M&A and consolidation opportunities.  We will remain focused on executing our strategy, which we expect will position the company to generate solid returns for shareholders.  I'll now pass the call over to Keith, Keith?
Keith Strachan : Thanks David. In Q3, we saw significant progression in sales compared to both Q3 last year and Q2 of this year. Net sales of $7.3 million is the best revenue quarter since Q2, 2020. At that time, we had a much different business model and the industry selling prices of cannabis concentrates were much higher. In Q3, we shipped 252,000 units of finished goods, versus 173,000 units in Q2, and 136,000 units in Q1, a quarterly volume increase of 85% year-to-date. With this trend, we have successfully pivoted and diversified our business. Two years ago, over 90% of our business was B2B and mostly in Canada. Today, we have a diversified business model, where less than 10% of our sales are B2B, and over 40% are international. We have a robust presence in the pharma, medical and Canadian adult use market. All these diverse segments have been built from a base of near zero and are all growing today.  MediPharm continues to maintain its leadership in the Canadian wellness space. In Q3, we were the number two producer in the oil category with 16% market share. This is an area where we can win, given our quality expertise and differentiated product lines. This category also saw the impact of changes in the Canadian cannabis industry where for the first time, we saw a quarterly decrease in the number of suppliers, including the exit of a licensed producer that was in the top five of the category. As more producers exit the extraction market, we are well positioned to benefit.  Our award winning oil portfolio, and the rest of our product line is driven by innovation. And to this end, we have launched 14 new unique SKUs since Q2, including four new international GMP SKUs for the UK and Brazilian market. This represents a 75% increase in launches compared to Q2 and the 250% increase over Q3 of last year. So far in 2022, we have launched 25 unique SKUs, which is an increase from the 12 launch over the same time period in 2021. This also speaks in a large degree to the shift in our business from bulk B2B to finished goods.  In May, we entered the domestic flower space. And with $1.6 million in sales in this category since its launch, we experienced great demand. This was done with limited number of SKUs intellect provinces. Subsequent to the quarter we have launched our flower SKUs in Quebec, and two additional flour SKUs in Ontario.  And Q3 international revenue increased both compared to Q2, and Q3 of last year. Increases can be contributed to commercial sales of GMP finished goods to Brazil and the UK and bulk isolate sales to Australia. In the quarter, we made our first shipments to Germany from our Berry facility. And with the sale of our Australian operations, all international GMP products will now be shipped from Canada.  In Germany, where we've been selling since 2021, we continue to see positive indications, including the current coalition government that has made cannabis legalization a key priority. With our experience in Germany, paired with existing partnerships with market leading companies, such as STADA Pharmaceuticals, we are poised to continue to succeed as this market grows.  Brazil's medical cannabis market is estimated to be worth $116 million by 2025. MediPharm is set up for success in this market having completed the very difficult product authorization process for two SKUs in 2022. We are currently the only Canadian producer to successfully complete this process. In Q2 we received our first commercial purchase orders and import authorizations for Brazil and we made our first sale during Q3. As a first mover in this country, we expect more orders to follow as we register additional products and complete replenishment.  During Q3, we also completed R&D and commercial scale development on pharmaceutical drug Dronabinol, which is a 95% plus purity of THC isolate. This is used as a pharmaceutical API and is widely used as a compounding drug by pharmacies in Germany. And that market Dronabinol is the second highest prescribed non-flower cannabis product behind pharmaceutical drug EPIDIOLEX.  To summarize our unique position in the Canadian domestic wellness, international medical and pharmaceutical markets will enable MediPharm to scale rapidly without the need for additional capital licenses or resources. We have launched many new products in Canada where we continue to build domestic growth. This segment has seen an impressive 81% increase year-over-year. Globally, we have a rich pipeline of opportunities, and we are managing new product launches and the quickly accelerating international medical cannabis market.  I'll now pass the call to Greg to discuss MediPharm financials. Greg.
Greg Hunter : Thanks, Keith. And good morning, everyone. In our prior calls, we discussed the importance of growing our international revenue base through organic and inorganic initiatives, reducing cash burn and driving towards profitability as top priorities.  I'm pleased to report we made progress on all these initiatives in Q3. As David noted, at the end of August, we completed the execution of a restructuring plan that saw 30% reduction in the Canadian non-manufacturing headcount. This initiative will save $3 million on an annualized basis, with Q4 being our first full quarter to benefit from the savings. In addition, on October 6, subsequent to Q3, we closed the transaction to sell our Australian facility for AUD7.25 million Australian dollars for approximately CAD6.4 million Canadian.  This transaction has several key benefits. One, it will reduce our annual operating expense by $4 million, two it will consolidate our global supply chain and production capabilities into our GMP facility into Berry to drive further efficiencies. And three, it strengthened our balance sheet with the additional $6.4 million of cash received in October, enabling us to continue to execute our strategy. Together the Canadian restructuring and the sale of our Australian facility will save $7 million on an annualized basis, with these savings fully realized starting in Q4.  In addition, we reduce our Q3 cash burn to $2.5 million as we continue to focus on reducing working capital to help generate cash.  Turning to the P&L performance for the third quarter. Revenue for the third quarter increased 66% on a sequential basis from $4.4 million in Q2 to $7.3 million. Revenue in the provincial sales channel grew 20% on a sequential basis, and 81% on a year-to-date basis, as sales increased to $3.5 million in Q3, and $8.8 million year-to-date. This growth is driven by our new and innovative product, the launch of our Shelter and Wildlife brand in May 2022, and select investments we made in sales and marketing.  However, as we continue to shift our business towards end products, this growth was offset by a reduction in our totaling and B2B business. This shift is in line with our strategy as we are decreasing our reliance on the less stable and less profitable B2B market segments and increasing focus on the more sticky and profitable Canadian adult use and international medical and pharmaceutical markets.  Canadian domestic revenue increased 20% sequentially to $3.9 million in Q3 from $3 million in Q2. International revenues increased 156% sequentially to $3.4 million in Q3 from $1.3 million in Q2. As discussed in prior quarters, this revenue segment will fluctuate as the market matures and we expect Q4 to decline relative to Q3, largely due to the sale of our Australian business.  International revenue represented 46.5% percent of total revenues in Q3, and 40% on a year-to-date basis. This segment will continue to grow over the next year with our gains in existing markets and with our expansion into new markets such as Brazil and the United Kingdom. Gross profit for Q3 was negative $1.2 million compared to Q2 gross profit of negative $0.5 million. Q3 gross profit was impacted by $0.4 million rights of selected inventory and some international sales at lower margins to move older inventory.  General and administrative expenses in the quarter decreased sequentially from $4.7 million in Q2 to $3.5 million in Q3. Q2 included severance for restructuring of $0.8 million. Adjusting for severance, general and administrative expense declined $0.4 million. This decline was largely driven by the restructuring completed in August. In addition to the $3 million cost reduction we discussed previously, we continue to look at further opportunity to reduce expenses.  Marketing and selling and R&D expenses of $1.7 million and $0.3 million respectively in Q3 were consistent with Q2. These investments will vary as we speak collectively allocate resources to advance our capabilities and product portfolio with a vision to become one of the most sophisticated cannabinoid producers in the world and capture a sustainable portion of the global cannabinoid medical and pharmaceutical markets.  Other operating expense of $1.3 million was driven by a non-cash write down of Australian assets to fair value less cost to sell. Adjusted EBITDA for Q3 improved $1.3 million from negative $6.3 million in Q2, to negative $5 million.  Moving to a few notable items on the balance sheet. Trade and other receivables declined from $14.8 million at Q2 to $13.7 million at Q3 with a continued focus on collections. As discussed in the previous quarters, there's one large customer owing a total of approximately $8.5 million at the end of Q3, which is subject to legal proceedings.  During Q2, we received a favorable summary judgment with respect to this legal proceeding awarding MediPharm $9.8 million. This is a positive outcome for MediPharm. However, this customer has appealed the summary judgment and thus there's still work to be done to collect this cash.  Adjusting for this one customer trade and other receivables is $5.2 million. Our focus on cash and working capital is paying off as our cash balance on September 30, was $19.5 million, which decreased $2.5 million from June 30. As noted previously, this did not include the $6.4 million collected for the Australian sale in October.  Although we still have work to do to get to profitability and become cashflow positive, Q3 was a step in the right direction. Sales and adjusted EBITDA are improved both sequentially and year-over-year, $7 million of annualized savings was realized with the implementation of our restructuring plan and the sale of our Australian subsidiary. Cash burn reduced relative to prior quarters with continued improvements in working capital. And today, we have approximately $23 million of cash and are virtually debt free.  Finally, given the strength of our balance sheet relative to our peers, we are very well positioned as we looked at the M&A landscape with many transformational opportunities.  With that, I'll turn it over to the operator to open the line for questions.
Operator: [Operator Instructions] Your first question comes from Aaron Grey with Alliance Global Partners.
Remy Smith: Hi, this is Remy Smith on for Aaron Grey. Thank you for the questions. So my first question, nice to see the sequential increase in sales, particularly to Australia in Germany. Given international sales can be volatile, want to see if you might be able to provide additional color on your line of sight to sequential growth continuing on the international front. And how does that differ between legacy markets and the new markets such as UK and Brazil? 
Keith Strachan : Good morning. Thanks for the question. This is Keith here. Definitely correct. We were very happy to see the growth that we saw on the international sales. But as we mentioned in the past, it is something that is a little bit lumpy by nature, just for the fact that onboard new customers and some of the import and export process.  I think that we've been building on the base, building the base of customers and growing that business. In some countries. I think in Q4, we may see slight decline, like for example in Germany, where we don't see as much regulatory action in the month of December just due to holidays in that country. But then when we look at other new emerging markets for us, such as the UK and Brazil, we suspect to seize control growth, quarter-over-quarter in those areas. 
Remy Smith: Great. And then my second question, look in more specifically Germany, the Health Minister, that we spoke about finding details on the adult use market? Can you speak more to how labs plans to capitalize on the market, especially given the initial plans call for production to be kept domestically? Does that have a notable impact? And how would you look to leverage this dire relationship in the adult use market or is that more geared towards the medical market? 
Keith Strachan : Thank you. That's a great question. It's something that we're watching very closely. And we saw the draft of the regulations and we're waiting to see, as some of those things are finalized. We have a lot of experience in Germany, we've been shipping there since the beginning of 2021. We have some great partners there, most notably, probably STADA.  So I think that we'll be able to participate in that market going forward. I think MediPharm itself is built on being a medical pharmaceutical cannabis company. So our strength will remain in the medical market there. I think what's really great about countries like Germany is, is medical cannabis has coverage. So in countries like Canada, where we saw the legalization of cannabis for adult use, kind of stalled some growth in the medical market. We don't expect to see that same stall in a place like Germany, where patients are getting, in most cases, full coverage for that medical product, we think that patients will continue to see cannabis as a therapeutic benefit of it to treat their different indications.  So we are still, quite happy and pretty bullish on the German medical market, and kind of waiting and seeing what that looks like on the adult use market.
Remy Smith: Great, thank you. Forget, I have one more question. So specifically, in Canada, we've seen both larger and smaller players to emphasize and you mentioned on your initial remarks, even exit the market to focus more on international. Can you speak a little bit more to that and how you view the Canadian market today than your business and the opportunities to be profitably in the market given the competitive environment?
David Pidduck: Yeah, Dave. I'll take -- I'll talk to that. We see, diversification is a pretty important part. All of these markets are growing at different rates and different things are happening in each of the different markets around the world. So our Canadian presence is actually pretty important to us. And if your question is, are we de-emphasizing our Canadian side of our business? In fact, no, we're have significant investments in sales and marketing. We have a direct channel in the market through a direct sales force. And we're seeing incredible growth in the Canadian market.  So while our global sales representative between 40% and 50% of our revenue that are growing nicely, our Canadian business is actually growing very well. We've launched many, many products this year, that have been very successful in the Canadian market. So we're actually feeling pretty good about what's going on for us, at least in the Canadian market right now. I'm sure that I addressed your question or, and to build on that.
Remy Smith: Yeah, no, that's great. Thank you.
Operator: Your next question comes from the line of Scott Fortune with ROTH Capital Partners.
Unidentified Analyst: Hey, good morning. This is Nick on for Scott. Just wanted to go back to the international side, could you just provide an update on what you've seen in terms of pricing specifically in Germany in the margins there? And if you could just add a little color on the growth you've recently seen on the STADA side, just in terms of overall penetration? That would also be helpful. Thank you. 
Keith Strachan : Good morning, Nick. Thanks for the question. We are seeing some corrections in the market both in Germany and other countries as far as pricing goes, and it's starting to level out. So we haven't seen, something as aggressive as some of the legalized states or as in Canada. And I think as I mentioned earlier, the coverage is a key part of that, because consumers are not out of pocket. These patients do have coverage, we're not seeing as much of a pressure on pricing, especially for extract.  So in the oil category, where we're the strongest. We're not seeing that at all, because it is primarily medical products. In the flower market where a patient goes and pays, I think you'll continue to see kind of pricing up and down as kind of that market matures. So we're really happy to kind of be as a specialty products out of that.  And I did mention on the call, we've done some extensive development on Dronabinol which is a pharma drug in Germany used by compound pharmacies. And that does have a great selling price and a great margin for MediPharm. So we're really looking forward to seeing that launch. So those are some of the things that we're doing to curb that.  I think the second part of your question, just how are we seen on growth? We've mentioned before the past, STADA's approach in Germany has been very methodical as far as onboarding physicians and patients slowly. So rather than going in, making a deal with a pharmacy that does distribution, they're getting right to the patient or right to the physician level. And we're seeing that grow month-over-month.  So every month, STADA's sales are growing in their cannabis division. And so that that will fall through back to MediPharm. As I mentioned before, the MediPharm sales are a bit lumpy as we as we will do bigger voted, and then they'll sell through those over 60 to 90 days, and then we'll replenish the sales on the actual STADA side are very smooth with that with a nice operating climate.
Unidentified Analyst: Great, I appreciate that color. And then just second one from me on the margin side, could you just provide an update on the gross margins in Canada, and just kind of the strategy around leveraging the sourcing environment to kind of improve that line item. Just recently, what you've seen on the procurement side in Canada would be helpful.
David Pidduck: Yeah, I can take that and add some color. So as we said in the recorded remarks, our gross margin did decline. Couple items in there, as we were looking at reducing inventory, which helped that so we did some selective sales at lower margins reduce cash. We also had some production exchange, which lower overhead. And we are focused on improving margins. So we have a couple initiatives underway which we talked about in our remarks on pricing. So we're focused on increasing pricing to improve margin. And we're also focused on selectively reducing costs in various product groups.  And third, we have also eliminated certain product lines, where the margin is not where we'd like it to be. So with those initiatives, we do expect to see improved gross margin as we move forward here.
Unidentified Analyst: Great, that's it for me. I appreciate the color.
Operator: Your next question comes from the line of Tamy Chen with BMO Capital Markets. 
Tamy Chen : Hi, good morning. Thanks for the question. First, I wanted to start off with a clarification. You said that in Q4, you're expecting some a sequential decline in international revenues, partly because of the sale of the Australian facility. I wasn't sure why that would be a contributor because I saw that you're now producing international products in your Canadian facility.  And there was another comment, Keith, you made that in Germany in Q4, because there's no regulatory action given the holiday that that may affect your sales. Why would that be like, are you talking because you can't get new product authorization? Is that why?
Keith Strachan : Yeah, good morning, Tamy. Thanks for the question. I think so on the Australian side, you're right, we have taken on the majority of that revenue through our Canadian facility. We did do some activities in Australia that were polling by nature.  So we would take Australian raw material that was owned by another producer there and turn it into a concentrate product and send it back to us. That something that we couldn't capture back into Canada. So those polling activities we can do just because of obviously would make sense to send the raw material from Australia to Canada, and then back to Australia.  And then on the German side, there is no clear indication of [indiscernible] for the month of December. But as we mentioned, we have a lot of experience in in Germany. And it's something that we've seen last year, and even the year before that when we were registering products in 2020 and 2021.  We were doing replenishment. So we will continue to do German deliveries from Canada. We have some even in the coming weeks. But we expect sometimes around December for some of that to slow and that can be anything from, last releasing products to customs, releasing products back to it. So it's just something that we are keeping on our radar. 
Tamy Chen : Okay, I understand. And your comment about looking to raise prices on some of your products was interesting because the cannabis industry generally has just seen an overall trend of more price decline and compression. So I'm wondering if you could just elaborate on where you see opportunities that you think you're able to actually raise prices. 
David Pidduck: Yeah, that's a really good question and one that we're spending lots of time on both with buyers and internally. Certainly, the environment to date has been one of declining prices. And certainly, the competitive environment has required all manufacturers to sort of follow and decrease prices.  I think we're seeing some not just with us, but with other LPs. I think we're starting to see, first of all the leveling of prices and then just the openly selling things, a low cost is stopping not just with us, but we're seeing kind of in the market in general. So when you think of it as actual price increases, or mix and the refusing to sell things below cost, or when launching new products being much more thoughtful in terms of the price point to make sure that it is at least contribution margin accretive. That's kind of a new headspace that wasn't probably in the industry at all, and not within our company, either, which is very high on our radar screen.  Now, having said that, we actually have been successful in products that would surprise you and getting prices in the provincial -- to provinces increases. And we're not talking dramatic, but if you are thinking that everything is going up by 8%, getting marginal increases in the marketplace. The market actually seems pretty receptive to that. And so that isn't going to be something that changes overnight and sort of saves the industry, or our company sort of instantly.  But I think the new messaging around internally externally and in the market, around much more responsible approach, to call it the volume versus price perspective, is what is starting. And it's certainly very well established. And obviously, where you have differentiated products, it's easier to do. Differentiated and established brands it's easier to have been difficult conversations.  And these conversations are going on not just in the Canadian marketplace, but in basically every country. I think we mentioned a line-by-line review of our pricing and profitability. And so price is one of the levers that we're looking at. Cost per product level is one of the levers we're looking at. The cash flow associated with any individual product contract. And we're revisiting contracts that we already have.  So I would think of price as one of the levers, but I would think of it more as an incredible attention to detail line-by-line to make sure that everything we put out there. Certainly on a go forward basis is profitable. And anything that is dramatically challenging historically in our portfolio we're addressing as well.
Tamy Chen : Got it. Okay. And last question for me is, is there anything more you can say about the API you contributed in the quarter to this new drug application? Curious what is this new drug application? Anything more you can say to that would be helpful? Thank you.
David Pidduck: Yes. We thought it was important to update investors on some of the work that we've done. I think, MediPharm is probably a global leader in the characterization of pharmaceutical CBD. And with that, and with our Drug Establishment License, and with our drug master file with the U.S. FDA, it gives us an opportunity to supply API to pharmaceutical companies. So in Q3, we provided API for new novel drug applications, which are very long by nature, as well as abbreviated new drug application. And abbreviated new drug application is basically a generic application.  So our pharmaceutical partner is targeting current pharmaceutical drugs with cannabinoids and API, and they're filing a generic for that. We are being a little bit restrictive in some of the information that we're doing. There's a competitive advantage of not fully disclosing as our pharmaceutical partner would prefer that we don't get into too much detail. But as the file makes its way through the process, we will be able to continue to update all of our stakeholders.
Tamy Chen : Okay, thank you.
Operator: There are no further questions. I will now turn the call over to David Pidduck, CEO for closing remarks.
David Pidduck: Thank you, operator. Just want to thank everyone for joining us today. Everyone have a great week. And we look forward to speaking in the New Year.
Operator: Thank you for participating. This concludes today's call. You may disconnect at this time.